Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to LivePerson's Third Quarter 2021 Earnings Conference Call. My name is Hector and I will be your operator today. At this time, all participants are in a listen-only mode. After the prepared remarks, the management from LivePerson will conduct a question-and-answer session and the conference participants will be given instructions at that time. To give everyone the opportunity to participate, please limit yourself to one question and one follow-up only. As a reminder, this conference is being recorded. I would now like to turn the conference call over to Ms. Idalia Rodriguez. Please go ahead.
Idalia Rodriguez: Thank you, Hector. Joining me on the call today is Rob LoCascio, LivePerson's Founder and CEO; and John Collins, Chief Financial Officer. Please note that during today's call, we will make forward-looking statements which are predictions, projections and other statements on our future results. These statements are based on our current expectations and assumptions as of today and are subject to risks and uncertainties. Actual results may differ materially due to various factors, including those described in today's earnings press release and the comments made during this conference call and in 10-Ks, 10-Qs and other reports we file from time-to-time with the SEC. We assume no obligation to update any forward-looking statements. Also, during this call, we will discuss certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures is included in today's earnings press release. Both this press release and supplemental slides, which include highlights of the quarter, are available in the Investor Relations section of LivePerson's website. And with that, I will turn over the call to Rob. Rob?
Rob LoCascio: Thanks, Idalia. Thank you all for joining LivePerson's third quarter 2021 earnings call. I'm thrilled to report strong results for the third quarter. Revenue was in the top half of our guidance range and increased 25% year-over-year to $118.3 million. Our adjusted EBITDA of $6.9 million at 5.8% margin was also in the upper half of our guidance range and reflects planned investments in the business. And as I will discuss more in a moment, during the quarter, we also signed the largest contract in LivePerson's 20-year history of being public. Reflecting on what we've achieved, I'd like to note that in 2019, we put out a long-term target to grow at 25% in 2021. We exceeded that target in 2020 of full year ahead of schedule have now grown at 25% or greater the sixth quarter in a row while we continue to focus on adding more quota carrying capacity and evolving our strategy for conversational AI and voice. We're very focused on creating the next set of foundational layers that will enable us to become a multi-billion-dollar revenue company within the next several years. What powers our big ambitions is our singular focus on being one of the leading AI companies in the world. The raw material to AI leadership is a rich dataset. This provides a foundation to build a very powerful platform to deliver high quality automated conversations. In this quarter, we hit a new milestone of 1.5 billion conversations on our platform, demonstrating the breadth and depth of our data assets and further strengthening our moat for delivering high quality conversational AI. In the world of AI, the Holy Grail is to have the machine learn and then correct itself without human intervention. And we are now about 12 months out from having self-healing AI on our platform. This is where the bot knows that it's not delivering a positive experience with the consumer, and then we'll make some small talk and then take a different path to correct the conversation. The bot uses historical conversational data to learn and correct itself. And this is why our massive dataset is so important to our platform vision. As our innovation continues at a very high pace, we need to match that with sales and marketing capacity. During the hydro pandemic in 2020 and into the beginning of this year, we focused most of our field resources on demand of our installed base. The installed base continues to take most of our capacity, which is a really good thing, but we must continue to ramp additional capacity, so we can go after new logos and opportunities. We hired Tony Owens as a President of Worldwide Field Operations at the beginning of Q3. He was previously the President of Americas for Salesforce and he is building momentum and adding new hires and leaders. We are attracting top leadership talent and scale focused roles across the company like Mary Fratto Rowe, our new Executive Vice President for Customer Success. Mary previously held executive leadership roles at Yext and Salesforce and has proven track record in scaling businesses and customer facing operations, reports to Tony, who shares with Mary the experience of being a leader at Salesforce when they were growing at a very high rate. Our field leaders stand alongside our outstanding tech leadership, including Andrew Hamel, who joined us two years ago from Amazon, where he led the development of Tier 1 services and tech initiatives related to Amazon's core search platform and other machine learning powered experiences. In the past two years at LivePerson, Andrew has worked closely with our technology and field teams on critical cross-functional initiatives, supported our ongoing build out of world-class AI team and focused on key strategic and operational goals. With Andrew's technology strength and focus on scaling, operations and innovation, we're confident that we're the right team to capture the go to market and innovation opportunities ahead of us. You may have heard me speak about willing to kill contact center of voice when we first launched our messaging platform 4.5 years ago. I still don't believe in traditional contact centers voice platforms, cloud or no cloud, let's say we're perpetuating the old customer care model that is expensive and creates a poor consumer experience. In this day and age contact center agents are mostly used because the brand does not have an interface or API between the legacy backend system and the consumer intent. Voice is the most natural interface for people to express their intent and our goal is to give every brand, their own voice AI system to deliver a beautiful high-quality conversational automation. High-quality conversations require the machine to have a real-time understanding of consumer sentiment and other markers of conversational quality, and also deep integration into legacy backend systems. This is why we recently acquired VoiceBase and Tenfold. These acquisitions will dramatically accelerate our vision to have our AI-based services span across the channels customers care about inclusive of voice and messaging. As we bring together the expertise and technology of our three organizations, we’ll create a unique unified, deeply integrated voice conversational AI to our platform. VoiceBase, a world-class voice analytics platform for the enterprise built on advanced speech recognition technology that transforms voice conversation into easily interpreted data and actionable insights. By unifying it with LivePerson’s conversational AI, we expect to give brand unapparelled visibility and customer intents, sentiment, frustrations, and successes for a much wider set of conversations across both messaging and voice channel, as well as traditional third-party context in our systems. Connecting messaging and voice data insights makes it easy to improve customer experience, and cover sales opportunities and to just understand agent productivity and utilization. Tenfold is a leading enterprise grade customer experience integration platform, enabling enterprises to modernize customer experience tools without having to replace legacy backend system. Beyond legacy integrations with Tenfold LivePerson messaging will be available to agents embedded in their CRMs for legacy voice agent desktops, or even in the brand's proprietary contact center systems. This will provide unparalleled flexibility for brands to work with any voice vendor and compliment LivePerson messaging by enhancing agent experience and productivity. These two strategic acquisitions open up new horizons for us. First, they make it possible for brands to have complete visibility and talent-ship across conversations and messaging and voice and deliver them with AI and automation. They also bring voice intelligence and AI technologies to support LivePerson's upcoming voice capabilities within our world-class conversational cloud. All told, we expect VoiceBase and Tenfold to accelerate our strategy in helping brands create high quality engagements within their customer conversations in every channel, including voice. We anticipate bringing AI powered voice offerings to the market in the first half of 2022. Returning to our third quarter results, the metrics reflect a very positive growth trajectory. We signed seven, seven-figure deals in the quarter, as well as an eight-figure expansion with a long-standing customer one of the biggest telcos in the United States. I’m proud to say this renewal, our fourth with this customer, is the largest contract in LivePerson's history. The SCRAM was one of the first to share a vision for messaging. We're excited to continue partnering with them. Our vision of putting AI at the center of scaling conversational commerce also continues to be validated. As we saw customer adoption of AI continued to drive platform usage in the third quarter. Volume on our conversational cloud continues to rise increasing 5% sequentially and 18% year-over-year due to a new high watermark. Total AI enabled bond increased 50% year-over-year. Messaging volume has particularly increased 40% year-over-year as we accelerated migrating customers away from traditional synchronous chat into asynchronous messaging experiences, the better for today's customer preferences. Among the many interesting items of Q3, I'd like to highlight some trends we saw in healthcare. Back in 2019, we set our sights in healthcare as a key new vertical. Today, we have partnerships with several big customers in the industry. In Q3, we signed a first phase of a new contract for the 10 largest healthcare companies in the world. The brand plans to improve consumer experience and agent efficiency by using web and email messaging to serve its customers. Currently driving 250 million calls per year into its call center. We also plan to lead straight to automation, leveraging our conversational AI tools to create highly scalable self-service journeys. There's another trend in healthcare around testing. Brands all across the industry are looking for solution to match COVID-19, with spreading variants and the Biden administration's vaccine and testing mandate testing is becoming an even more routine part of daily life. We continue to see a major opportunity for conversational AI and testing, and opportunity that is already evident in tele-health. LivePerson is helping brands deal with the challenges of bringing employees back to the office through BELLA Health, which has already been used by 25,000 employees at 750 locations around the U.S. With our turnkey technology testing solution we can source, deliver and help manage workplace rapid testing programs, all powered by very supportive, conversational AI. All these trends in healthcare show our potential in this vertical, which has a very large TAM. Third-party research estimates that American tele-health market is expecting to grow to over $43 billion by 2026 at a CAGR of over 28%. As evidenced by BELLA Health, AI is critical for any strategic initiative to scale in the healthcare space. At a LivePerson we have both the flexibility and AI expertise to quickly capture a massive opportunity here. We're allocating more technology and go-to-market resources in health care as a result. I'd like to highlight a new customer in the retail vertical. One of the largest sporting goods retailers in the world signed a seven-figure multi-year deal in Q3 and we recently launched our Conversational Cloud to enhance the sales experience. It started with web messaging, and automation and plan to expand to additional messaging channels as well as expanding further into commerce. This brand will also be using our Maven Pay platform, use our tech to make it easier, secure and seamless for customers to make payments directly within messaging conversations. Maven Pay contains conversational commerce within the conversation itself, rather than making customers go outside the messaging interfaces to complete their transactions. Our success and experience with large retailers, along with our innovation automation, AI capabilities, help us seal the deal to transform the digital channels and accelerate growth. In addition to exciting new customers in key verticals we are also seeing continued strengthen in our relationship with our long- time customers, many of which expanded their partnerships with LivePerson in Q3. These deals also point to an important trend customer brand that signed with us for our strong customer care solutions are increasingly moving into commerce with us as well. In a post-pandemic world, we expect brands move away from just coping with the crisis toward long-term planning for digital transformation, shifting volume to messaging and automation as soon as possible. They will increasingly bring care and commerce strings together to let customers enjoy natural, conversational experiences, carrying context and continuity across all channels. Let me shed some light on this theme with our existing customers. Just still notable around the quarter is our strategic, multi-year expansion within the long-term customer, The Home Depot, the world's largest home improvement retailer. Over the course of our ten-year partnership, we work together to continually increase the Home Depot's messaging volume on our conversational cloud. This renewal was fueled by the growing volume and our proven ability to help drive revenue and reduce operational expense for the brand. As our strategic partnership grows, we plan to continue to support Home Depot’s focus on digital customer experiences, using automation to drive more efficiency and scalability and offering industry-leading shopping, and customer service experiences on channels, including web messaging, SMS, Apple Business Chat, and Google Business messages. We’ve also expanded in Q3 with one of the largest beauty and cosmetic companies in the world. We’ve implemented automations driving conversion rate up to 22% on their website. And they're continually leveraging our AI tools and sales and marketing solutions to streamline the shopping experience for online and mobile consumers. And another win for the quarter, we expanded our 10-year plus long relationship with one of the world's largest entertainment and media companies with a seven figure ACD multi-year contract. We're helping them unify the consumer journey across channels by shifting calls to messaging, empower their in-app experience. Over the long-term, our predictive analytics are expected to help them diagnose the health of their conversations and our proactive messaging and embedded commerce capabilities are expected to help them re-engage and take payments and seamless in-app experiences. Finally, evidence of our strength and our long-term relationships also we've found in our Gainshare offering. In Q3, we launched strategic playbook for Gainshare customizing it around brands, desired outcomes. One of our biggest Gainshare customers is one of the world's largest home improvement retailers. And we've been leveraging the program and our expertise for everything from automation to deployment to agent training. Within a year, we've seen the automation rate go up to 60% of all conversations. We trained 600 messaging agents during the pandemic to support the brands, saving the retailer, estimated $100 million in expenses simultaneously we built and scaled their personalized connections with consumers doubling their average online shopping cart value and generating more than $520 million in incremental revenue in a year. We strongly believe this tremendous success can be replicated across other brands. And notable Gainshare deal in Q3 was our expansion with ANZ Bank, one of the three largest banks in Australia. ANZ aims to drive higher percentage of digital transactions over the next 12 months. Our team plans to help manage mobile app messaging accelerate automation across the banking platform. As a longstanding customer, ANZ trust LivePerson for our comprehensive conversational AI capabilities, our ability to provide the right talent and our expertise to help upskill their workforce, enabling them to transform to a digital focus first on customer care to report. In closing, LivePerson is very well positioned for continued strong growth with great execution. Our team continues to focus on go-to-market initiatives and capitalize on the demands in the market. We have a tremendous market opportunity with only 20% messaging penetration to-date. Moreover, we see the opportunity to expand our current TAM through the appointment of voice AI and automation technologies within our platform. Our acquisition of Tenfold and VoiceBase is a first step to realize this massive opportunity, given our proven ability to execute, we believe that we will continue to achieve strong results in Q4 and meet our 2020 growth target. With that, I'll turn the call over to John to provide more color on our financial and guidance. John?
John Collins: Thank you, Rob. The third quarter [Technical Difficulty] quarter of 25% or greater revenue growth with both revenue and adjusted EBITDA exceeding the midpoint of our prior guidance range. While we continue to deliver results, the central theme of the third quarter was executing on the investment strategy that we expect to unlock new vectors of growth in 2022 and beyond. First, we deployed some of the capital we raised last year to acquire VoiceBase and Tenfold, which represents strategic assets that accelerate our technology and go-to-market roadmaps. Second, we built both the recruiting machine necessary to accelerate hiring and our go-to-market organization and the support infrastructure and repeatable processes that will guarantee meaningful returns on our investments. And third, we deepen our relationships with strategic partners in healthcare to advance our vision for AI and automation to transform the industry. In terms of progress on our go-to-market investments, we ended the third quarter with 96 quota carriers. And as of November 1, we have 115 quota carriers. While the organic increase was light in the third quarter, we did not expect a linear trajectory towards target of 200 quota carriers by the end of the first quarter of 2022. During the quarter, our primary focus was on increasing recruiting capacity and processes necessary to achieve our targets. To build on Rob's description of our strategic acquisitions, note that we estimate the addressable market for automated speech recognition or ASR and speech analytics alone, to be at least 5 billion, growing at a 30% compound annual growth rate. Further, we estimate that most of our installed base of brands, which employs approximately 500,000 voice agents, users or is in the market for ASR and speech analytics, which creates glide path to near-term revenue synergies. Acquiring VoiceBase and Tenfold was also central to our AI strategy, ASR and speech analytics and a broad spectrum of voice integrations enable automated intent resolution and novel AI capabilities by leveraging what is currently the largest repository of customer service data voice. In addition, deep out-of-the-box API integrations into CRM’s business intelligence systems and a range of service and customer support systems allows us to capture contextual data and deliver seamless workflow automation, generally robust data capture and access to rich back ends like this are the bedrock of great AI. In terms of market dynamics, while brands are broadly migrating to cloud offerings, the motion is complicated by legacy infrastructure and compliance as well as high switching costs. As a result, brands are looking for plug-in solutions that drive improvements to the consumer experience and offer cost savings and greater ROI, without ripping and replacing the legacy telephony systems. In combination VoiceBase and Tenfold are responsive to these market dynamics and increased demand by brands for consolidation and the single pane of glass. AI messaging coupled with robust data capture and deep API integrations throughout the communication and service tech stacks enable the compression of disparate workflows into a unified agent experience. These embedded agent experiences in third-party systems such as CRM and service systems and other proprietary applications are in an expected capability for omni-channel C-Class and increasingly pure-play messaging. Yes, two vendors offer robust offerings to that. Strategically, these dimensions value where we see the most immediate and disruptive opportunity with the combination of LivePerson, VoiceBase and Tenfold. And from an economic perspective, seamlessly integrating with all voice systems opens the revenue aperture to the full range of customer interactions. In terms of inorganic revenue in 2021 as fourth quarter transactions, we expect the positive impact from VoiceBase and Tenfold to be significantly less than 1% of LivePerson total revenue. Note that we will provide additional financial details and 2022 guidance on our fourth quarter filings. With that strategic overview, I’ll transition to our quarterly financial metrics. In the third quarter, total revenue grew $118.3 million, up approximately 25% year-over-year and within the top half of our guidance range. Upside in the quarter was driven primarily by professional services and continued demand for rapid at home COVID-19 testing. Both which were partially offset by expected seasonality and Gainshare, which was 13.2% of total revenue. Note that these revenue sources, namely AI assisted healthcare testing, professional services, and Gainshare tend to exert pressure on gross margins. While we were in line with our expectations for the third quarter, we expect slight but continued margin compression for the full year driven primarily by continued COVID-19 testing and front-loaded investments across our Gainshare portfolio. On the latter point, note that we expect to ramp costs faster than revenue in the initial phase of a new contract or existing customer expansion due to the need for infrastructure integrations and agent training. Over time, accelerating rates of automation have proven to expand margins. Turning to our reporting segments. Within total revenue, the B2B business grew 26% year-over-year while the Hosted Software segment grew 25%. Professional services revenue grew 27% year-over-year and the Consumer segment grew 16%. From a geographic perspective, U.S. revenue grew 37% year-over-year and international revenue grew 5%. Note that international growth was impacted by or comparables in the third quarter of 2020. Upsells that rolled average volume into 12 months plus contract periods and a large delayed deal in EMEA that we expect to close this month. Expanding on go-to-market capacity in our international theaters is a key strategic focus within our broader go-to-market investments and was also one of the primary motivations for the e-bot7 acquisition. We see a significant opportunity to take market share in the region, particularly in the mid-market and its inaugural quarter as part of the LivePerson family, the e-bot7 team delivered double-digit mid-market S&D new logos. We expect material revenue synergies from this acquisition to continue. As we continue training the e-bot7 team to sell the conversational cloud to its enterprise customers. Further, we’re also extending the e-bot7 product suite to deliver instant automation for downstream customers of our partner marketplaces. We continued to both retain and grow relationships with it – with our existing brands. As Rob said earlier, key theme of the third quarter was the extended partnership with many long-standing customers. Six of the seven figure deals this quarter were multi-year expansions with existing customers, which we see as a strong testament to the staying power of our platform. Consistent with this team revenue retention was once again within our target range of 105% to 115%. Marking the 17th consecutive quarter that revenue retention was within or above this range. Average revenue per customer was $570,000 up 34% year-over-year driven primarily by continued expansion from care to commerce, which translates to increased platform usage for both our CPI and Gainshare business models. Total billable volume on the conversation with cloud increased 18% year-over-year and 5% sequentially in the third quarter, reaching a new record high in advance of our seasonal peak later this quarter. AI powered messaging volume increased 60% year-over-year and accounted for 75% of all messaging. We have also seen significant growth from large existing accounts over the past 24 months, for example, volume for our top 20 brands increased 25% year-over-year and 175% over the third quarter of 2019. With the majority of our top 20 now on CTI or Gainshare pricing models, we are benefiting from a tighter connection between usage and revenue. While we’re pursuing many new sources of growth, we continue to capitalize on opportunities within our installed base of brands a trend we expect to accelerate with VoiceBase and Tenfold now on board. In terms of usage and revenue trends by vertical, we continue to see significant growth within retail financial services and increasingly healthcare. As for new logos, while we saw a slight sequential increase over the second quarter, new logos are lower year-over-year. Once again, the go-to-market investments we made in the third quarter, which will continue into 2022 are laying the foundation for materially accelerating new logo acquisition. Moving down to P&L. Adjusted EBITDA in the third quarter was $6.9 million or 5.8% margin, which reflects the sizable go-to-market investments we made during the quarter. As for the balance sheet and cash flow highlights, we closed the quarter with $633 million of cash and cash equivalents, a decrease of $32 million from the second quarter, which was driven by the use of cash for planned investments and the e-bot7 transaction. In terms of guidance with the third quarter results landing upper end of our range and solid execution on our strategy. We are raising 2021 revenue guidance to a range a $468 million to $471 million or 27.7% year-over-year to 28.5% year-over-year, relative to previously issued guidance of $464 million to $471 million or 26.5% to 28.5% year-over-year. Our revenue guidance range for the fourth quarter is $122.2 million to $125.2 million, or 19.6% to 22.6% year-over-year. We are also updating our 2021 adjusted EBITDA guidance to a range of $11.9 million to $16.3 million or 2.6% to 3.5% margin. This is from a range of $14.8 million to $22.8 million or 3.2% to 4.8% margin. The revision primarily reflects incremental operating expenses for VoiceBase and Tenfold and acceleration of our go to market investments. Fourth quarter adjusted EBITDA loss is expected to be in a range of negative $21.7 million to negative $17.3 million or negative 17.8% margin to negative 13.8% margin. Before taking questions, I’ll summarize several key themes with the quarter and our strategic positioning for future growth. In the near term, the acquisitions of VoiceBase and Tenfold create glide paths to new logo acquisition and expansion within the base. They seamlessly integrate voice messaging and backend systems to deliver a unified agent experience. And they generally extend our AI platform’s ability to deliver personalization at scale. The organic go to market investments we initiated in the third quarter, we’ll continue through the first of next year and set us up to accelerate new logo acquisition with a focus on the mid-market. Care and commerce are now viewed as two sides of the same coin and our goal is not to sell one without the other. Further, diverse and rapidly expanding uses of the platform driven by advances in AI and automation admitted stickier than ever, which is a key factor in securing the largest eight-figure deal in our history and six, seven-figure multi-year expansions within our base. These use cases are also extending our reach within high-growth verticals, especially healthcare, where we strengthened our relationships with key partners who share our vision for AI to transform the industry. With these new growth vectors, our 2022 targets are well within reach and represent only at the beginning of a new phase of AI led growth. Operator, with that, we’re now ready to take questions.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Sterling Auty with JPMorgan. Please proceed with your question.
Sterling Auty: Yes, thanks. Hi guys. So, you covered a lot in a short amount of time and thank you for that. But I just want to make sure I have a really good understanding. So, the voice AI solutions that relates first half, specifically, what are the use cases? Is it customer support? Is it sales? What are the initial use cases you’re going to start with?
Rob LoCascio: It’ll be customer support and sales. I mean, it’s riding off the same rails as the messaging platform. So, the same AI capabilities, so we can go after both. So, we’re not – we can do one or the other, a lot of our volume right now is still customer care and the messaging side. And we’ve been going into commerce over the last couple of quarters. So, I would probably reflect that.
Sterling Auty: That makes sense. And my one follow-up would be still on this topic. Just after you made the acquisition, when you had some initial contact with your customers, what was the initial reaction? Do you think you’re going to have interest in terms of getting those first couple of lighthouse accounts that you’ll need to be able to drive traction?
Rob LoCascio: Yes. Two interesting things. One is actually the companies VoiceBase and Tenfold got calls from their existing customers about each other’s products, like, you’re going to integrate these two, which was kind of interesting. And then also we’ve been starting to talk to our customers about adding voice in the platform and have been talked about why, these will accelerate the go to market and the product depth. So, yes, but actually – the interesting one was actually we heard from the companies themselves about their existing base. What this allows us to do is, the rich conversations require backend integrations, since what we do with our messaging today. So, this – Tenfold gives us an ability to do that and get into CRM systems and everything else in a much deeper way. We can also take our capabilities and put them inside their current CRM systems and ride our messaging and voice platforms inside those. So that’s that one. And then VoiceBase is about understanding really what’s going on in the conversation in real time, so that the automation can know if it’s doing a good job or a bad job, and all the analytics around that. So, it really is allows us to complete what we know it takes to create rich conversations. Most conversations we’re used to and what they’ll call voice AI is not conversational. It’s more command based or it’s linear structures, press one, press two, press three, which are IVRs. We’re really building a true conversational AI system, which I think is unique in the market.
Sterling Auty: Excellent. Thank you.
Operator: Our next question comes from line of Arjun Bhatia with William Blair. Please proceed with your question.
Unidentified Analyst: Hi, this is Chris on for Arjun. So, I get that, you mentioned, it’s – hiring isn’t linear in terms of hiring new reps. So far, you’ve hired that little over 30. Where are these reps coming from? And what gives you confidence in your ability to hit the 200 target on time?
Rob LoCascio: Yes. The reps are coming from a wide range of SaaS companies today and the open market. In addition to third-parties that we’ve partnered with, some of whom have dedicated practices just for LivePerson to scale up our recruiting machinery.
Unidentified Analyst: Great. Thank you. And then in terms of acquisitions, so you had the two this quarter the one last quarter, seems like mostly kind of technology and tuck-ins, but you still have over $600 billion on the balance sheet – $600 million on the balance sheet. How are you thinking about your approach to M&A going forward as a long-term growth driver?
Rob LoCascio: We see it as a means to execute on the strategy in a shorter distance. So, in the case of VoiceBase and Tenfold, we get technology acquisitions that will accelerate our going into the voice AI space. e-bot7 is more about we want more feet on the street and capacity in Europe, and we know it’s a big market. So, we keep looking at sort of those two continuums of technology and feet on the street. I wouldn’t expect a giant acquisition. We don’t need – we built everything ourselves that we need, and we’re filling in some of the pieces to accelerate our go-to-market. But we’re not looking to do anything like a big step chain in acquisitions. But we’re using it to just accelerate what we already are doing organically.
Unidentified Analyst: Great. Thank you very much.
Operator: Our next question comes from the line of Peter Levine with Evercore. Please proceed with your question.
Peter Levine: Great. Thanks for taking my questions. So, the first question is your bookings and pipeline commentary sound bullish, ARPUs up. But if I look at deal count metrics, they are trending downs. And I look at that with the current rep count you have today. So, if you look out, call it 12 months from today, like how do you get leverage? I mean, where does the leverage come from? Like, how are you tracking rep productivity? I’m just trying to kind of bridge the gap between I think your commentary and then looking at the deal count metrics.
John Collins: Yes. Hi, Peter. I think with regard to rep productivity, there’s a lot of packaging and pricing that we’re working on internally, so that we have playbooks repeatable processes that our existing reps and the new ones that we’re onboarding can just go out and execute against. And we think that that repeatable sort of playbook will allow us to bring reps to productivity faster and also ensure that our products are hitting the market in the same way, every time with customers. We have very strong value propositions that are resonating with existing customers and a lot of surfaces area in the platform today. But we need to package and price it in a way that it resonates with customers. And that’s something that we’re working on as we speak in addition, of course, to ramping capacity.
Peter Levine: Okay. And then, I apologize if I missed it, I jumped on later. Revenue was down sequentially, I think it was like 1%, curious to know what the dynamics there? Thank you.
Rob LoCascio: Yes. I mean, what were – we had a couple of large deals that were slated for the third quarter that pushed into the fourth, and then we had some seasonal – expected seasonal headwinds with Gainshare that will reverse of course into tailwinds in the fourth quarter.
Peter Levine: Okay. Can you quantify the deals that got pushed out?
Rob LoCascio: I’m sorry, say again?
Peter Levine: Can you quantify the deals that got pushed out, meaning, if they closed in Q3, this is what we would’ve looked at?
Rob LoCascio: Yes. They were both large seven-figure deals.
Peter Levine: Great. Thank you for the questions.
Operator: Our next question comes from the line of Ryan MacDonald with Needham & Company. Please proceed with your question.
Unidentified Analyst: Hi. This is Alex on for Ryan. And I was hoping you’d give us some information on how the migration of the ELA contracts to the CPT contracts are going? I remember last quarter migration looked like it was around 45% with an end goal being around 70%. Where are you at in the process?
John Collins: In the third quarter, we reached about 58%. So, we’re on target for what we had previously guided of being in the ballpark of 70% by the end of year.
Unidentified Analyst: Okay, great. Thank you. And then could you give us a little bit more color on any sort of things you want to point out international?
Rob LoCascio: Sure. I mean, I think in my script, we talked about some headwinds in the AMEA region. One of the large deals I mentioned a moment ago was in that region. We also had overages. If you recall with our – within our CPI contracts, when the ceiling is hit customers going to overages, we had overage revenue roll into longer dated upsells. And so that’s good for us long term, but in the quarter, it means less revenue. So that was another headwind during the quarter.
Unidentified Analyst: Great. Thank you so much.
John Collins: I would say though, generally, while we had some headwinds in EMEA, the APAC region was well above our internal expectations.
Unidentified Analyst: Thank you.
Operator: Our next question comes from the line of Siti Panigrahi with Mizuho. Please proceed with your question.
Siti Panigrahi: Thanks for taking my question. Just to follow-up to your earlier comments on the deal slip. Did you say that you already closed that?
John Collins: One closed, one to be closed this month.
Siti Panigrahi: Okay. And then when you look at your guidance kind of midpoint implies 21% for Q4. What are the jumps there? Do you see any kind of gain sale for slowing down or any other factors that are factoring in your guidance?
John Collins: Certainly, being variable source of revenue, and to some extent campaign driven during the seasonal peak there’ll be some variance in game sure, but we expect, as I said upside there as we move forward relative to Q3.
Siti Panigrahi: Okay. And then Rob, question and competition, if you see right now, this multichannel communication kind of hitting up, like you see Twilio you’re trying to get into this space and also Microsoft talking about that as well. There also have their contact center. So how do you see this competitive landscape evolving this post-pandemic?
Rob LoCascio: Yes, I mean, the way I see it is that, we still have the best, asynchronous messaging platform, because we built it now four and a half years of technology. And let’s consider that surface area, which is we want everyone in the world to have that platform. And then on top of that, we’re riding our AI automation capabilities, our connective tissue to other third-party endpoints social outbound. Now, we have outbound marketing to campaigns payments. And so, the way I look at it is, I think we’re going to be much more aggressive in the market on our – on the messaging platform. Now, we’re kind of crossing the chasm, shall we say from early adopter to general demand. And so, I think we can be more aggressive and just seed that, seed that into also the mid-market where we haven’t really played, because we have so many demands in the enterprise. What we see is like Twilio’s more of a – it’s more for the engineering side of a company where they take APIs when they crafting together, ours is always delivering outcomes. We don’t just deliver technology stack we’re delivering outcome of a sale or reduction in service cost through automation. And our AI capabilities is really where we’re very, very different from everyone in the market. So, I think there’s going to be a lot more aggressive, behavior on our side on the pure messaging on the asynchronous side, why we capture value, continued value in our AI capabilities and all the capabilities that ride on top of the messaging platform. And now voice will also become surface area of communication that we’re going to get out there. And we don’t have a voice platform in the market where we’re going to, and we’re going to, we’re tacking it from a very different perspective than the normal cloud voice offerings or a traditional voice enterprise company. So, obviously there’s a lot of movement in our market, but I – once again, we’re playing to our strength of AI and automation, which is makes us unique.
Siti Panigrahi: Great. Thank you.
Operator: Our next question comes from line of Mike Latimore with Northland Capital Markets. Please proceed with your question.
Mike Latimore: Yes. Great. Thank you. Can you just sync up the two separate volume growth numbers? You had 18% growth on the platform, then 40% in the in messaging, I guess I would’ve thought those would be a little closer together.
Rob LoCascio: The volume – so as you may know, right, the chat volume is continuously declining and being replaced by messaging volume. The numbers that we called out in the prepared remarks, concern, primarily automation of that volume. In other words, AI driven conversations, which were up 60% year-over-year.
Mike Latimore: Okay. And then with regard to voice technology, as you think about the opportunity and voice, how much of the – I don’t know, voice platform does the voice base get you versus something else you may want to add over time?
Rob LoCascio: I mean, we’ve been building the core of the voice platform organically internally, so that it’s native to our automation capabilities. So that’s one part. The voice base gives us another level of what we need is analytics and real time insight into what’s happening in the voice channel so that the automation performs at a very high rate. And then tenfold gives us integrations into traditional legacy systems so that we can make the conversation handle things like if someone says, I want to pay a bill, it’s going to hit a billing system and then they’re going to have a conversation around the bill. We need to get data out of that third – out of that legacy system. So, it really – it’s it sort of finishes making, giving us the capabilities to have very, very rich conversations. And then they’re riding on our platform and they’re using all of our AI technology to create box and all that. And that’s the stuff that we do very well. So, I mean, we are pretty excited about this. The goal of the voice platform is to stick it in front of IVRs. And basically, be there before you hit a traditional IVR. We do have agent capabilities in it. So, if the live agent is need it, you can route on the platform to a live agent and they’ll take a voice call. We’re also delivering it as BYOC, which is Bring Your Own Carrier. So, if you look at Amazon Connect like today, you have to use them as a carrier, and even telcos have to use like their carrier service and they pay for that. So, all of our telco customers, all someone has their own carrier service, they can wire it in. So, and we’re going to be very aggressive on the voice side. Like we – once again, we look at a surface area, and then we have all our automation capabilities versus it’s our core. And so, I think you'll see a different dynamic in the market as we, and we're investing a lot of money in this. So, it's not an add-on for us, it's surface area like messaging.
Mike Latimore: Yes. Yes. Okay. Thanks.
Operator: Our next question comes from the line of Jeff Van Rhee with Craig-Hallum. Please proceed with your question.
Jeff Van Rhee: Great. Thanks for taking my questions. Couple, first on VoiceBase and Tenfold, you're going pretty quick on this. What you're expecting in terms of the contribution on revenue and EPS for Q4? And then can you put – just put it in broader context, how big they are? How many heads? And what you're thinking in the out here?
Rob LoCascio: Yes. Hey, Hey Jeff. In the prepared remarks, I said that the contribution to 2021 would be significantly less than 1% of total revenue. So, I think like low single digit millions across both assets. In terms of size, VoiceBase is around 40 people and Tenfold closer to 80.
Jeff Van Rhee: Okay. And roughly, what were they growing? What was the trajectory they were on?
Rob LoCascio: They're both pretty high growth startups, so kind of high double digits.
Jeff Van Rhee: Okay. All right. Fair enough.
Rob LoCascio: Yes, accretive to – accretive to live person in terms of growth.
Jeff Van Rhee: Sure. And – and sorry, again, just a repeat on the rep count, did you say 200 by Q2 is the target?
Rob LoCascio: Correct? End of Q1.
Jeff Van Rhee: Okay. Okay. And what are you assuming in terms of ramp for productivity for those reps?
Rob LoCascio: The strategy to ramp productivity?
Jeff Van Rhee: No. I mean timelines from hiring to productivity.
Rob LoCascio: Yes. Nine months is the target, it could be as much as 12, but nine months is our target.
John Collins: And then we're firing up.
Rob LoCascio: We're going to be firing up – we're going to be firing up a mid-market group now. And so, the time to market will be shorter for the mid-market reps and we'll have mid-market product in the – we'll take our platform and or even preparing it for that. So that'll have a little bit of a shorter distance than the enterprise ones.
Jeff Van Rhee: Okay. And one last for me then the COVID testing, I think you called it out last quarter as an unusual got a big chunk of revenue. How did the COVID testing trend sequentially?
Rob LoCascio: So sequentially it was similar to the third quarter and definitely a component of our upside this quarter.
Jeff Van Rhee: Okay, great. Thank you.
Rob LoCascio: Thanks, Jeff.
Operator: Our next question comes from the line of Steve Enders with KeyBanc. Please proceed with your question.
Steve Enders: Okay, great. Thanks for taking my questions. If we just to start with Andrew coming on as CTO, is there any kind of change in the focus of either the product or the tech stack going forward that he will be – he'll have a greater focus on here?
Rob LoCascio: Yes. I think, I think it's really about Tony and Andrew working together. We have a lot of capabilities in the platform now. So, if you know we've been selling it as sort of a call it a flat menu where you get access to the entire platform and you're paying cost interaction, but we have so much in the platform now that we're going to be packaging it a little differently and sort of, they call bite sizes for use cases or entry points into sales service or marketing or retail. And then Andrew's aligning to that because that's a focus area to also follow that packaging and how we want to bring it to market so we can get greater scale on usage of the platform. So that's one part we're obviously we're migrating to GCP because we run our own clouds right now, but for scale we're migrating, so he's focused on that on scale and stability. And so those are the, the key areas that he's in. And then the last part is, as I mentioned it's not insignificant. And that's what I wanted to talk about is we're about 12 months out from self here, as bot can self-heal. And the AI capabilities around that is we all talk about machine learning, but we actually are going to be in a place we can see it that the machine will heal itself. It'll know its answering questions correctly that came out in Q4. We have a measurement called max. It can do like small talk, hey, hang on a second and we have that coming out in Q4, and then it will go ahead and based on previous data, we'll then correct itself and bring the conversation somewhere else. And the goal here is our biggest bottleneck let's say is humans, humans making bots and humans tuning bots. So, we want to basically get the machines to do as much as we can in making the bot tuning it and scaling. And so, he'll be focused on bringing that and focus of that.
Steve Enders: Okay, great. Really helpful. I think you mentioned in there that there's some new packaging coming and kind of right sizing some of those initiatives, I guess, how is that kind of augmenting the kind of market as you think about it, as you particularly hire these new reps in the next six months or so?
Rob LoCascio: Give the newer reps a dependable and repeatable playbook, right, for certain customer profiles. So, they're able to have kind of a purpose driven approach to produce outcomes for customers. And that’s a little bit distinguished from the selling motion today, which is predominantly in the enterprise and there’s just a lot of capabilities to bring to market. And there’s – because it’s the enterprise, there’s a desire to kind of put it all out there. We’re taking a more methodical approach, more purpose driven approach to deliver outcomes for the specific size, companies in the mid-market that are in certain sort of phase of their customer service or in the case of commerce, that just gives our reps a faster path to productivity when pricing and packaging align with customer needs.
Steve Enders: Okay, perfect. No, that’s great to hear. Thanks for taking my questions.
Rob LoCascio: Yes. And it’s a natural progression because over the last 4.5 years, we sold a lot into I’ll call the early adopter, which is a very much it’s a machinery sale. It’s – these are people who have the vision like we had, like, if you remember, T-Mobile was our first customer out of the gate 4.5 years ago. And they had a vision that we did how to transform customer care. So, when you have visionary is buying, it’s a different sale than when you have just reconciled marketers and heads of care. They need things in a much more simple way, because they’re not buying on vision, they’re buying on outcomes. So, they want to see, hey, if I’m a marketer, I don’t want to see the whole platform, just give me everything. That’s going to help me as a marketer, make better marketing outcomes. And so that’s why we’re going to be packaging down. And the platform does do retail marketing sales and service. So, it’s got a lot in it right now and then all the channels. So, there’s just a – we produced a lot of techs and so it’ll just make it easier for our reps. Then we also can verticalize the reps. There’s a lot more we can do with them as we go to market.
Operator: Our next question comes from line of Samad Samana with Jefferies. Please proceed with your question.
Samad Samana: Hi. Good evening. Thanks, taking my questions. I guess I’m going to ask, I’m going to math here a little bit and ask maybe a high-level question. I guess I’m trying to reconcile, the benefits of something like COVID testing and elevated messaging volumes et cetera, but then, growth kind of also slowing back into the mid-20s. And I understand that the headwinds related to gain share, but I guess I’m just trying to understand like industry demand and the tailwinds we’re seeing on the messaging side and yet growth slowed again for the second consecutive quarter and this time actually on a slightly easier comp. So, I’m just trying to maybe reconcile those two about like how we should unpack the parts that have slowed down and why beyond just gain share. Because if I took out the COVID testing, it would seem like the – that’s something that it would be even slower. So just maybe help me think about that.
John Collins: Yes. Hey Samad. If you recall from the first quarter and the second quarter, we had one in the first quarter, easy comps and so growth was quite high. In the second quarter, we had pulled in some revenue actually, and that was related to the AI assisted healthcare testing business. And so given that unexpected revenue, and again, well in excess of our original guidance from the first quarter, it’s kind of inevitable that we would eventually decelerate we’d pulled in some of that healthcare related revenue. Relative to the second quarter, as I said, healthcare testing was approximately the same, but obviously bigger base of revenue. All right. And so that’s really the dynamics that are in play in terms of the deceleration coming off of the second quarter into the third.
Rob LoCascio: And then I would add that, if I could go back in time, which obviously I can’t, I probably would’ve opened up hiring and opening up our investments in September of last year. We were head down on just satisfying our base and there was a lot of demand the base as you know, and that actually continues to Q1. It continues now our growth in usage keeps going up. And so, it would’ve been smart to open up our marketing spend and our sales head count. We have some of our marketing spend in sales head count going back to 2019 today. So that’s – that now we’ve opened it up, obviously we’re doing everything we can now. And so, if you think about the opposite way, if we start to add a ton of new logos and business, which we will on top of what we’re just doing on selling predominantly the base with upsells, you’ve got a different profile. So, I think, look in the business over 25 years, like it’s a series of S curves. Like you have these demand happening, and then you kind of hit this place where you’re like, oh, we’ve got to make another change to create the second S curve. And I think we’ve ridden the S curve of messaging quite well. And now we’re doing things like adding capacity packaging, all the things we need to do to sort of create this the next S curve to take us on the next level of growth. But think about if we had new logos right now, you can see there’s still anemic that the growth rates would be significantly different than even the mid-20s.
John Collins: And Samad, I would also add that, we are a predominantly an enterprise business and with the enterprise there’s lumpy revenue. We’ve also opened up a few new verticals in really big ways. And we’ve had more growth than expected. And so that will come into a quarter unexpectedly and you see that manifest in these – in the deceleration from the first half into the second half, but taking a step back from there, we’re still guiding acceleration from last year. And the top end of our guidance is 28.5%. So even though it’s coming in a little lumpy across the quarters, it's still a really solid year of growth.
Samad Samana: Understood. And then maybe John, just to ask you in question, what did e-bot add into 3Q, I think the deal closed in July. If I remember correctly, I don't know if I heard that of the cloud projects if it's already been asked.
John Collins: Yes. I mean, very, very tiny amount of revenue. We're not talking seven figures here.
Samad Samana: Okay. And then maybe just one more question apologize for slipping in a third one, just as I think about the existing sales headcount and obviously the big ramp that's coming, can you just remind us maybe are, how should we think about, is there going to be incentive structures around, Rob just mentioned new logos and that they were anemic and how should we think about maybe incentives around driving new logo growth? And is that something that is already in place for the existing sales reps and how should we think about kind of the priorities as you add new reps as well?
John Collins: Yes, it's, it they'll be predominantly focused in that, but we also know that within our base, there's a lot more we can do with our largest customers. Because and the account coverage model will change for us because we need some more headcount in our base too. So, the incentive structure, most of these people will come in, will be hunting new low goes in new areas. The other thing is that, we're upping our marketing, so marketing's been fairly flat. It's going up considerably in Q4. Because the front line a pipeline needs to grow, we can't just have reps and they need the pipeline to go. We're also starting to reinstate if you remember face-to-face events were really our weapon in marketing and especially early adopter people want to see, hey, this is new technology. I'm seeing big brands having successes. They're talking in a room, they seem really excited. There's a great, I want to be a part of that. So, we are bringing back as COVID sort of dissipates, one of our key weapons, which is the live events and we've been doing these small dinners. So that's starting to pick up too. So, I hopefully going into next year, we have that as a continued way to grow the marketing side.
Samad Samana: Great. Thanks for taking my questions. Appreciate it.
Operator: Our next question comes from the line of Zach Cummins with B. Riley. Please proceed with your question.
Zach Cummins: Yes. Hi, good afternoon. Thanks for taking my questions. John, you touched on this a little bit in the script, but can you just go through some of the drivers for the lower gross margin performance that you're guiding to in Q4? I'm assuming that's partially driven by M&A, but just giving a little more insight into that would be helpful.
John Collins: Yes, maybe a little from M&A, but I think that the, the bigger sources there are the AI assisted healthcare testing business, professional services and gain share all three of those business lines have lower margin profiles and, the, on the healthcare side, it's just a new business, right? And so, we're trying to take share, and the economics will improve as that business matures. In terms of gain share, we're investing in our current customers and anytime we have a new contract or an expansion, there's a need to onboard additional agents train those agents and often, deliver integrations, in order to stand up the customer or execute on the expansion. So, all of those are reasons that, that gross margins would compress. And on the gain share side, of course that's temporary, it's the upfront cost. And then over time as automations accelerate, we've proven right. The ability for that business to expand margins in very meaningful ways.
Zach Cummins: Understood. And, and just final question for me in terms of your 2022 growth targets. I mean, can you just give us a little more insight into what's baked into those? I mean, do you have to hit your, I guess pace of hiring for new sales and marketing reps in order to hit that FY22 growth guidance?
John Collins: No, we don't have to hit our target exactly. In order to hit the 27% that we put out there in the third quarter, there's a large number of factors that go into that guide. And, some of them are in healthcare for example, where we continue to make expansions and deepen relationships with strategic partners that, that see our vision our partner network continues to ramp and it is helping to accelerate deals. Obviously, the go-to-market capacity is part of it, but so is the packaging and pricing. So, we have a lot of vectors of growth that are going to contribute to that as well.
Zach Cummins: Understood. Thanks for taking my questions.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session, and I would like to turn the call back to Mr. Robert LoCascio for closing remarks.
Rob LoCascio: Thank you. In closing, I just wanted to also mention, we are recently named one of the top 100 most love workplaces in the U.S. by Newsweek. And today we were named to Inc magazine's best-led companies list. And I want to thank everyone on the team at LivePerson for all their hard work and for being recognize one of the best places in the world to work. We have so much more to do, and it's great to be on this journey with everyone as a shareholder myself, obviously I'm really proud of the work we're doing here and of the future that we're creating. So, with that, thank you. Enjoy the holidays. We won't see you until next year and thank you.
Operator: Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time. Thank you all for your participation.